Operator: Greetings, and welcome to the Q3 2025 Nine Energy Service Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce Heather Schmidt, Senior Vice President of Strategic Development and Investor Relations. Please go ahead.
Heather Schmidt: Thank you. Good morning, everyone, and welcome to the Nine Energy Service earnings conference call to discuss our results for the third quarter of 2025. With me today are Ann Fox, President and Chief Executive Officer; and Guy Sirkes, Chief Financial Officer. We appreciate your participation. Some of our comments today may include forward-looking statements reflecting Nine's views about future events. Forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review our earnings release and the risk factors discussed in our filings with the SEC. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today also include non-GAAP financial measures. Additional details and a reconciliation to the most directly comparable GAAP financial measures are also included in our third quarter press release and can be found in the Investor Relations section of our website. I will now turn the call over to Ann.
Ann Fox: Thank you, Heather. Good morning, everyone. Thank you for joining us today to discuss our third quarter results for 2025. Revenue for the quarter was $132 million, which was below the range of our original guidance of $135 million to $145 million. We generated adjusted EBITDA of $9.6 million. Q3 was a challenging quarter for the market following significant rig declines and subsequent pricing pressure beginning in Q2, in conjunction with the announcement of tariffs and a decline in oil prices. As a reminder, at the end of Q1, the U.S. rig count was 592 and by the end of Q3, had declined to 549 rigs, a decline of 43 rigs or approximately 7% over 2 quarters. With activity declines, we have also had significant pricing pressure, most evident in the Permian, where the average rig count has declined by approximately 15% from Q1 to Q3, and the competition is most saturated. Oilfield service providers are making unsolicited bids on work, and customers are also bidding out work outside of the typical bidding season to drive down price. This has led to Nine and other providers either losing market share to lower pricing, and/or lowering our current pricing to maintain work in conjunction with overall lower activity levels. Activity declines and pricing pressure negatively impacted revenue and earnings across all of our service lines this quarter and revenue was down sequentially across divisions. In addition to market impacts, our completion tool division had domestic market share losses during the quarter that negatively impacted revenue and earnings. These market share losses were due mostly to customer consolidation and a change in certain of our customers' completion designs specifically around casing sizes. Our R&D team is working real time in the design and testing of tools that will address these casing size changes. Our international tools business continues to perform well and remains an important part of our growth strategy. For the first 9 months of 2025 compared to the same period in 2024, we have grown international revenue by approximately 19%, driven mostly by increased sales in the UAE, Argentina and Australia. We still anticipate that our international revenue will increase this year versus last year despite a tough market backdrop. Natural gas prices remained mostly supportive during the quarter, averaging approximately $3.03 in Q3 versus $3.19 in Q2. While the natural gas outlook remains positive, we faced temporary headwinds in the Northeast starting in Q3 due to droughts in the area. A lack of water is causing completion delays and inefficiencies that are negatively impacting our wireline and completion tool operations in the Northeast region. Before handing it over to Guy, I want to highlight a significant technical and operational accomplishment in our cementing division. The team recently completed a landmark cementing job for a large operator in the Haynesville basin. This basin is characterized as an extremely challenging operating environment with bottom hole temperatures often exceeding 400 degrees Fahrenheit and bottom hole pressures requiring elevated fluid densities. These conditions necessitate stringent design requirements and precise execution methods. Our cementing team formulated a latex-based cement slurry that maintains stability while being placed in an extremely narrow annulus and mitigated friction pressure concerns due to its reduced viscosity. The end result was an exceptionally capable slurry pumped at increased rates and reduced pumping pressures, all while maintaining full fluid returns during the process. I am extremely proud of this team and how they continue to innovate on technology and execute at the well site. I would now like to turn the call over to Guy to walk through detailed financial information.
Guy Sirkes: Thank you, Ann. As of September 30, 2025, Nine's cash and cash equivalents were $14.4 million, with $25.9 million of availability under the revolving credit facility, resulting in a total liquidity position of $40.3 million as of September 30, 2025. On September 30, 2025, the company had $63.3 million of borrowings under its revolving credit facility. At September 30, 2025, we had $14.4 million of cash and cash equivalents and $25.9 million of availability under the credit facility, which resulted in a total liquidity position of $40.3 million. As a result of the current commodity price environment and its impact on our inventories appraised value, we currently expect the borrowing base under the 2025 ABL credit facility will be reduced by approximately $2.2 million as of October 31, 2025, and will be further reduced by approximately $2.2 million on each of November 30, 2025, December 31, 2025, and January 31, 2026, which would reduce availability thereunder and our total liquidity position by such amounts. Future increases or decreases in our inventories appraised value would increase or decrease, respectively, our borrowing base. Our next inventory appraisal is currently expected to be conducted by mid-December 2025 and could increase or decrease our borrowing base as of December 31, 2025. During Q3, we did not sell any shares under the ATM program. As per the terms of the indenture governing Nine senior secured notes, the company is required to periodically offer to repurchase such notes with a portion of any excess cash flow. Nine did not generate any excess cash flow as defined in the indenture in the most recently ended 2 fiscal quarters. As a result, no excess cash flow offer will be made to noteholders this month. During the third quarter, revenue totaled $132 million with adjusted gross profit of $20.3 million. During the third quarter, we completed 1,015 cementing jobs, a decrease of approximately 4%. The average blended revenue per job decreased by approximately 1%. Cementing revenue for the quarter was $49.3 million, a decrease of approximately 6%. During the third quarter, we completed 8,267 wireline stages, a decrease of approximately 4%. The average blended revenue per stage was down by approximately 11%. Wireline revenue for the quarter was $28.2 million, a decrease of approximately 15%. For completion tools, we completed 22,067 stages, a decrease of approximately 27%. Completion tool revenue was $31.2 million, a decrease of approximately 16%. During the third quarter, our coiled tubing days were decreased by approximately 11% with the average blended day rate increasing by approximately 5%. Coiled tubing revenue was $23.4 million, a decrease of approximately 7%. During the third quarter, the company reported general and administrative expense of $12.8 million. Depreciation and amortization expense was $8.6 million. The company's tax benefit was approximately $0.3 million year-to-date. The benefit for 2025 is a result of a $0.5 million discrete tax benefit recorded during the second quarter of 2025, offset by tax positions in state and non-U.S. jurisdictions. For the third quarter, the company reported net cash used in operating activities of $9.9 million. The average DSO for Q3 was 56.8 days. CapEx spend during Q3 was $3.5 million and total CapEx through Q3 has totaled $13.9 million. Our full year CapEx budget remains unchanged at $15 million to $25 million but will likely come in at the lower end of the range. I will now turn it back to Ann.
Ann Fox: Thank you, Guy. As I discussed, the market backdrop for the past few quarters has been challenging with both activity declines and pricing pressure. It is too early to provide any specifics on potential 2026 activity. Many operators have begun bidding out 2026 work but many are continuing to evaluate their 2026 CapEx plans, especially with the recent volatility in oil prices. Natural gas prices remain mostly supportive, helping to drive more efficient operations in the Northeast and Haynesville and building a more positive sentiment, which has and will continue to benefit our operations and earnings. For Q4, we do not expect any significant changes in activity but do anticipate typical seasonality related to weather, holidays and budget exhaustion as well as continued low pricing of services. The extent and magnitude of these slowdowns are still unknown, but will create more white space in the calendar. Because of this, we anticipate both revenue and adjusted EBITDA will be down compared to Q3 and project Q4 revenue between $122 million and $132 million. We will continue to navigate these challenging market dynamics, the team is extremely capable and resilient, and we will remain focused on growing market share, both domestically and internationally, while simultaneously lowering our costs without impeding the quality of service execution, safety and technology. We will now open up the call for Q&A.
Operator: [Operator Instructions] And the first question comes from the line of John Daniel with Daniel Energy.
John Daniel: So Ann, I'm going to ask probably one of the dumbest questions of your career. But when you think about like the pain that's happening right now in the service market, and I think most people would say that we're probably flattish next year, right, maybe down -- maybe down if oil prices drop. But I'm just curious, like, in this environment, at what point do customers recognize that relief is needed, where we got to -- you've been through plenty of cycles or at some point, you can go to your customers and say, "Hey, this ain't working anymore." When do we hit that point? And when will they listen?
Ann Fox: Yes. I mean I think we are certainly flirting with that point now, John. We're at the point where we're starting to hear about frac availability problems in the Northeast right, because there's been such underinvestment, people are moving assets around. So that certainly starts to reach a point where operators are thinking. But I think the challenge is, as you mentioned, a lot of people are thinking flat CapEx next year. So our operators are becoming under pressure as well, their cost curve is moving up. They're moving into Tier 2 or lesser acreage. So I think commodity prices aren't supportive for them. So they're also under pressure. So finding relief is, I think, challenging for the service sector and becoming more challenging for the upstream sector. So it's conflating the situation, and I think it's a more complicated potential outcome.
John Daniel: Okay. Fair enough. And then just one sort of a nerdy question on coiled tubing, but there's at least 1 person that's rolled out the 2 7/8 unit. I'm just curious, is there a chance that we could see a step change, if you will, in terms of what type of equipment will be needed for the coiled market? Or is that -- do you see that as sort of a unique opportunity, If you will?
Ann Fox: Yes. I think the fact that these laterals are getting so long, it begs for a step change. But I think, again, to your earlier point, the service sector is under so much pressure that, that capital investment is more challenged. So yes, technically, the field needs it but is there the capital to support it. So I think that is a challenging situation, but we're not seeing operators slow down on the long laterals.
Operator: Thank you. There are no further questions at this time. I'd like to hand the call back to Ann Fox for closing remarks.
Ann Fox: Thank you for your participation in the call today. I want to thank our employees, our E&P partners and investors. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. We thank you for your participation.